Operator: Hello, and thank you for standing by for Energy Monster's 2023 Second Quarter Earnings Conference Call. At this time, all participants are in listen-only mode. Today's conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the meeting over to your host for today's conference call, Director of Investor Relations, Hansen Shi.
Hansen Shi: Thank you. Welcome to our 2023 second quarter earnings conference call. Joining me on the call today are Mars Cai, Energy Monster's Chairman and Chief Executive Officer; and Maria Xin, Chief Financial Officer. For today's agenda, management will discuss business updates, operation highlights and financial performance for the second quarter of 2023. Before we continue, I refer you to our safe harbor statement in the earnings press release, which applies to this call as we will make forward-looking statements. Also, this call includes discussion of certain non-GAAP financial measures. Please refer to our earnings release, which contains a reconciliation of non-GAAP measures to the most directly comparable GAAP measures. Finally, please note that unless otherwise stated, all figures mentioned during this conference call are in RMB. I would now like to turn the call over to our Chairman and Chief Executive Officer, Mars Cai, for the business and operation highlights.
Mars Cai: Thank you, Hansen. Good day, everyone. Welcome to our 2023 second quarter earnings call. We are pleased to announce positive results for the second quarter of 2023 as we continue to steadily head towards normalization. Revenues and profitability continue to recover both on a year-over-year basis and sequentially. For the second quarter of 2023, mobile device charging service GMV increased by 37% year-over-year and 17% quarter-over-quarter. This reflects that the overall offline traffic in China is making its recovery. In April, mobile device charging service GMV increased by 64% year-over-year. The positive trend remained with a year-over-year increase of 39% in May. During Labor Day holiday, in May, our GMV increased by 83% compared to the same period of last year. The path towards recovery is especially notable in hot hit areas last year. GMV in first-tier cities increased by over 100% year-over-year during this quarter, of which Shanghai and Beijing led the recovery with 600% and 140% increases year-over-year, respectively. Transportation hub and office buildings POIs led the recovery in terms of POI types. The overall recovery in foot traffic has also unleashed opportunities for POIs expansion as more locations have a sufficient number of users for us to expand our service. During the second quarter, both our direct and network partner models continue to drive our POI expansion as our service becomes more accessible to more users at more locations. On one hand, our direct model continued to gain momentum as offline traffic continue to return to normalization, allowing us to be better capturing the opportunities to expand into KAs. On the other hand, our network partner model allows us to more efficiently scale into more regions and diversify our POI composition. During the second quarter of 2023, we made an important change to our contractual arrangement with our network partners that further unlocks our growth potential under the network partner model. This update increased the competitiveness for both Energy Monster and our network partners. We believe that this update will allow us to further unlock the full growth potential of our network partner model and drive the expansion of our service to all corners of China where our service is needed. We also continue to improve our operating efficiency on all fronts during this quarter with profitability continuously trending up. Non-GAAP net income for the second quarter of this year was RMB30 million compared to RMB17 million in the first quarter of 2023 and a loss of RMB177 million in the same period last year. Notably, our operating profit for the second quarter of 2023 was RMB14 million compared to an operating loss of RMB191 million in the same period last year. The incremental recovery in our profitability is clear and reflects that the core economics of our operation is rebounding. We are pleased with the improvement in our operating efficiency in the past year as we significantly reduced fixed costs in our operation and strive towards normalization of our unit economics. We believe that as offline foot traffic continues to rebound, our mobile device charging operation will continue reaching new heights and higher market share. This is primarily due to the recovery in efficiency of our cabinets and power bank and the increased coverage of our operation. We believe that the positive trend in the recovery of our profitability will continue to take shape going into the rest of this year. This will, in turn, allow us to continue strengthening our balance sheet, which is required to capture the growth of the mobile device charging service industry as well as opportunistically expand into new initiatives that can leverage Energy Monster's advantages in operational and technological expertise. We believe that the strength of our core mobile device charging service cash flow and overall balance sheet serve as pillar to Energy Monster's growth in the future. The core strategies of coverage of expansion and operational efficiency remains center to our business philosophy, allowing us to achieve market-leading growth and operational leverage. Our commitment to these two strategies has allowed Energy Monster to navigate out of the period of external challenges largely unscathed. We were able to maintain the general increase of our POI coverage throughout the past three years and to reduce fixed expense fees. Now let me walk you through our key initiatives in coverage and efficiency in greater details. First is our ever-expanding POI coverage. During the second quarter, we made significant strides in the growth of POI coverage with a number of POIs covered during the quarter, increasing by more than 100,000. We were able to deliver the 10% quarter-over-quarter increase in terms of POI count through the combination of growth from both the network partner and direct models. With the mobile device charger network of over 1.1 million POIs, our reach is more expansive and comprehensive than ever. During this quarter, we added 15.4 million new registered users, increasing our total cumulative registered users by 17% year-over-year to 362.5 million users. The large user base is directly translating into record high number of unique users and mobile device charging orders, which totaled to more than 170 million orders for this quarter. The network effect of our operations continues to scale and become increasingly apparent. For users, they are able to see our cabinets throughout their day, cementing the Energy Monster brand as a reliable and expansive provider of mobile device charging service. This subtle difference allows Energy Monster to be the first thing that comes to users' mind whenever they have on-demand mobile device charging needs. We are seeing an ever-increasing number of users directly opening up our mini program to find our service in their nearby locations. We are also seeing the number of orders where users borrow power banks from one cabinet and returning it to another cabinet continuously trending up. This further suggests that the users are more comfortable with taking the power bank with them to their next location as there will likely be a place to return the power bank later in the day. This all show that the network effect is greatly beneficial to our operation as we further cement ourselves as number one choice for users when selecting a mobile device charging service. The network effect on the demand side continue to be benefit the efficiency of our cabinets and power banks when compared to peers within the industry. Our network partners model continues to be a core driver of our POI growth. As of the end of the second quarter, 62% of our POIs were under the network partner model. There is an increase from 53% as of the end of 2022 and 38% at the end of 2021. The rapid growth of our POI account under the network partner model continues to be driven by the increase in the number of active network partners. During the second quarter, we had approximately 8,900 active network partners. This is an increase of approximately 1,100 compared to the previous quarter. With the continuous large influx of new network partners, one of our main goals this year is to work alongside our network partners to operationally support them so that they are able to grow alongside Energy Monster. This quarter, we have separated our network partner based on their scale and level of experience in the mobile device charging service industry. Based on the different scale of operation and experience, our network partner team is able to provide tailored solutions and training based on their current conditions. This is gratefully beneficial to newer network partners as it allows them to have a step-by-step action plan for each stage of their operation. Going forward, we will continue providing our network partner with the know-hows and data needed to successfully run their mobile device charging service operation. Looking forward, the combination of continuously acquired new network partners alongside with unlocking the growth of existing ones, we serve as the core drivers of growth under the network partner model. For our direct model, the number of POIs under it increased during the second quarter. We continue to make ongoing adjustments to existing POIs that we considered to be underperforming, going into the second quarter as the offline foot traffic in China continues to normalize. With number of POIs under the direct model increasing this quarter, we are beginning to see that normalization of offline foot traffic has reached a level that can better support the economics of the direct model. Going forward, our direct model business development personnel will put more emphasis on expanding into high-traffic locations that meet our standards. For national and regional KAs, our KA and business development team continues to sign new brands with higher levels of efficiency and success compared to industry peers that solely leverage the network partner model. During this quarter, our direct model signed a leading KAs in various different categories, including chain stores in the milk tea, KTV and hospital, as well as a number of high-traffic transportation hubs. The signings of national and regional KAs continue to be an advantage for Energy Monster given our strong brand and dedicated team of direct model personnel. Both our direct and network partner models serve as the engine of our expansion, continuously propelling Energy Monster's operation to new heights and placing us in a position that can best capture the market opportunity. We believe that the swift execution and ability to acquire KAs for our direct model and efficiency and expansive reach of our network partner model provides the flexibility required to continue increasing our market share in the industry. The expansive reach of our mobile device charging service, either through our direct and network partner model strengthened the benefit of network effect for Energy Monster. This effect allows us -- cabinet and power bank to be more efficient given the users have an affinity for our brand. It also allows us service -- our service to be more easily expanded into new POI, given the larger user base and established brand reputation. Going forward, we will leverage both models to further cement network effect of our operation, which allows us to more efficiently capture the growth of mobile device charging service industry and further extend our leading market position. Next is efficiency. Efficiency is the other critical aspect of our business, and we are proud to report that we have made significant progress in this area in the past few years. In the past two quarters, our profitability has returned. But notably, this quarter, we have achieved a positive operating profit, making the first positive operating profit since the first quarter of 2021, while a significant part was due to the increase in revenue efficiency of our cabinets and power banks as a result of normalization of foot traffic. The initiatives we have taken during the last few years also benefit the recovery in our efficiency. We continue to take steps in reducing fixed costs so that our operation is less susceptible to changes in the micro -- macro environment. The general transition from higher fixed costs during the pandemic to the lower levels now makes our operation leaner and more flexible. During the second quarter of 2023, the number of entry fee-type contracts decreased by more than 77% when compared to the same period last time -- last year, with entry fee contracts accounting for 12% of incentive fees for location partners, down from 22%. POI revenue share in contracts accounts for over 83% of total direct model contracts and 68% of total incentive fees for location partners in the second quarter of this year, up from 77% and 48%, respectively, in the same period last year. We are also investing in the future by redesigning the new generation of cabinets to continuously improve our competitiveness. The mass production of latest cabinets and power banks continue to help improve the economics of our operation under the direct model as well as increasing the competitiveness of Energy Monster's network partner model. These investments in the future hardware continue to pay off as it increases our competitiveness on both fronts and provides the basis for our network coverage expansion. During this quarter, we also made improvements to our logistics process as number of cabinets and power banks shipped to our location increases. New improvements in this process reduced general shipping costs across the board, while maintaining the timelines of deliveries. With a large inflow of new network partners and POI network more expansive than ever, we are also focusing on the strengthening of our risk control system to better manage our operations, which, in turn, improve the efficiency of our business. We believe that these investments in the future will enable us to maintain our competitive edge and continue driving growth and profitability in years to come. In conclusion, as we look ahead to the rest of 2023, we believe that we are well positioned for sustained growth and a progressive recovery in our profitability. The first quarter marks the beginning of our peak season. Notably, we are seeing transportation hub and hospitality POIs with the quickest year-over-year growth. The recovery in the third quarter, however, has been mixed. On one side, the general recovery in the offline traffic and our larger coverage network all equate to increased growth. On the other side, the softer expected consumption and array of heat waves and heavy rains in certain areas of China has offset the certain amount of the growth. However, we remain optimistic about the future and confident in our ability to continue driving growth and profitability. That's why going into the rest of 2023, we remain positive that we can continue delivering positive values to our stakeholders. Lastly, I would like to reiterate that Energy Monster's network coverage is as expansive as ever, and our user base is the largest it has ever been. The benefit from network effect is becoming increasingly apparent. With our competitive advantage in place, we are able to leverage our advantage in our network effect to more rapidly consolidate market share. The maintaining of our direct model personnel is starting to benefit us as peers from the industry, all primarily leverage the network partner model. This leaves an opportunity for us to further acquire KAs in the industry given our direct models advantage. For our network partner model, our new contractual arrangement in conjunction with our cost-efficient cabinets and power banks allow our network partner to quickly scale the operation when they work with Energy Monster. Lastly, on the efficiency side, we will continue to make improvements across every aspect of our operation, leaving no stone unturned. By doing all of this efficiently and consistently we believe we can create a competitive moat around our business that allow us to truly diversify away from peers within the industry and to efficiently expand our operation in the future. Thank you very much. I will now turn the call to Maria Xin, our CFO, for the financial highlights.
Maria Xin: Thank you, Mars. First, I'd like to explain the changes in our revenue recognition. Starting from this quarter, we have updated our contractual arrangement with our network partners and there's a network partner model, shifting the principal role of providing mobile device charging services from us to network partners. Under the new arrangement, mobile device charging revenue generated under the network partner model is now recognized on a net basis. Also, the ownership right of cabinet and power banks under the network partner model has been transferred from us to network partners. This change is intended to increase the competitiveness of our network partner model. Please refer to the earnings release for the details on the change. Now, let me walk you through the second quarter 2023 financial results in greater details. For the second quarter of 2023, revenues were RMB1 billion, representing a 50% year-over-year increase. Mobile device charging revenue, which consists of revenue generated from both direct and network partner models, were RMB1 billion and accounted for 99.1% of our total revenues for the quarter. Revenues generated from direct model, which comprise from a mobile device charging service fee of RMB293.9 million and power bank sales of RMB6.8 million, were RMB300.7 million for the second quarter of 2023, down 31.8% year-over-year. The decrease was primarily due to the decrease in number of POIs operated through the direct model. Revenues generated from network partner model, which comprise of mobile device charging solution fee of RMB53.8 million and the sales of cabinet and power banks of RMB671.8 million, were RMB725.6 million for the second quarter of 2023, up 196.1% year-on-year. The increase was primarily due to the addition of revenue generated from sales of cabinets and power banks, as a result of the change in contractual arrangement with network partners, which includes a one-time recognition of RMB500.6 million in sales of cabinet and power bank to network partners. Our revenues were up 107.8% year-on-year to RMB9.4 million and accounted for 0.9% of our total revenues. The increase was primarily attributable to the increase in user traffic from the general recovery in offline foot traffic in China during the second quarter of 2023 and the increase in advertisement efficiency. Cost of revenues were up 310.5% year-on-year to RMB668.5 million for the second quarter of 2023. The increase was primarily due to the increase in sales of cabinets and power banks in relation to shift in ownership rights of cabinets and power banks under the network partner model, which includes a one-time recognition of [RMB445.8 million] (ph) in cost of cabinets and power banks sold to network partners. The increase was partially offset by the decrease in depreciation cost. Gross profit was down 30.4% year-on-year to RMB367.2 million for the second quarter of 2023. Operating expenses for the second quarter of 2023 was RMB353.6 million, down 50.8% year-over-year. Excluding share-based compensation, non-GAAP operating expense was RMB348.1 million, representing a year-over-year decrease of 51.1%. Research and development expenses for the second quarter of 2023 was RMB18.7 million, down 21.5% year-over-year. The decrease was primarily due to the decrease in personnel-related expenses. Sales and marketing expenses for the second quarter of 2023 was RMB295.2 million, down 55.6% year-on-year. The decrease was primarily due to the decrease in incentive fees paid to the network partners as a result of the change in contractual arrangement with network partners and the decrease of incentive fees paid to the location partners. General and administrative expenses was RMB31.1 million in the second quarter of 2023, up 9.3% year-over-year. The increase was primarily due to the general decrease in efficiency of our operations. Income from operations was RMB13.6 million and operating margin for the second quarter of 2023 was 1.3% compared to negative 27.7% in the same period last year. Net income was RMB24.5 million in the second quarter of 2023 compared to a net loss of RMB184.5 million in the same period last year. Net margin for the second quarter of 2023 was 2.4% compared to a net margin of negative 26.7% in the same period last year. Non-GAAP net income, which excludes share-based compensation expenses, was RMB30.1 million in the second quarter of 2023, compared to a non-GAAP net loss of RMB177.5 million in the same period last year. As of June 30, 2023, the company had cash and cash equivalents, restricted cash and short-term investments of RMB3.2 billion. Capital expenditure for the second quarter of 2023 was RMB2.1 million. Thank you for listening. We are now ready for your questions. Operator?
Operator: The question-and-answer session of this conference call will start in a moment. [Operator Instructions] Our first question today is from Vicky Wei of Citi. Please go ahead.
Vicky Wei: Good evening, management. Thanks for taking my question. I have one small question. So, how much effect will the new revenue recognition method for the network model had on revenue going forward? We also see a new cabinet sales line for revenue. Would you please share some color about the margin profile for this part of the business? Thank you.
Maria Xin: Thanks for the question. The change in contractual arrangement has changed the way we recognize revenue under the network partner model. Now our revenue under it is recognized on a net basis. Before, we'd recognized it on a gross basis. This change in contractual arrangement will result in a decline in overall revenue size, given that the net amount is significantly smaller than the gross amount. However, this is partially offset by the addition of the cabinet and the power banks sale revenue line. As for the gross margin of the cabinet and power banks sales under the network partner model, the pricing of this hardware depends on the market competition. We do not intend to sell this hardware at [indiscernible]. Our core network partner model is still the expansion of our coverage network and the generation of recurring mobile device charging solution revenues from network partners in the long run. Thank you for your question.
Operator: Our next question will come from Charlie Chen of China Renaissance. Please go ahead.
Charlie Chen: Thanks, management, for taking my questions. I have two questions. Can management share a bit on the unit economics between the two models currently as well as going forward? And also, we are seeing the increase of direct model locations for the first time in a while. So, is this going to be an ongoing trend in the future? Thank you.
Mars Cai: Thanks a lot for the question. The unit economics of the two models was pretty different during the pandemic time in the past few years, largely because our direct model has a bit more fixed expenses. For example, employee salary and upfront incentive fees. Our network partner model has always been pretty stable during -- even during the pandemic, but since the recovery starting from the first quarter of this year, the two models' unit economics are starting to converge. Our network partner model, financial efficiency is increasing, and our direct model is quickly rebounding. This is because: one, the general increase in foot traffic that is driving the recovery of the efficiency of our cabinets and power banks to better cover fixed costs; the other being the reduction in the fixed incentive fees. We plan to continue optimizing our direct model going forward in the rest of this year and believe that the economics between the two should eventually reach a similar level. And yes, our direct model's POI increased this quarter because of the recovery in foot traffic. This means that more location in direct models have the foot traffic to support our service. While we don't have exact targets for the new POIs under either model, because our approach to POI expansion has always taken into consideration of efficiency, I believe there continues to be room for the increase in POIs under the direct model. Most of its focus will be on large-sized or higher trafficked locations, such as national or regional KAs. Thank you.
Operator: Our next question will come from Weiting Tang of Goldman Sachs. Please go ahead.
Weiting Tang: Hi. Hey, Maria -- Mars and Maria. Thanks for taking my question. You just mentioned earlier the third quarter results is a big mix due to the soft consumer spending. Can you please elaborate a little bit more on how this translates into an impact on the operations? Like are we seeing lower ASP or usage rate? Thank you. That's my question.
Mars Cai: Hi, thanks for the question. Sure. Let me elaborate a bit on this. The softer consumer spending can be seen across consumer industries this year, but especially starting at around July. For example, we are seeing the difference between weekday and weekend foot traffic to be a bit wider than the pandemic level -- than the pre-pandemic level. This means that more users are moving around during the weekend, but less during the weekday than before. In terms of consumption amount, we are seeing a less-than-expected recovery in offline spending across a number of industries. Now because our operation is based -- performed at these locations, we rely on their ability to attract users as well. But I want to emphasize that this is nothing compared to the impact during the pandemic. It does marginally affect the usage rates of our power banks, but this does not have any effect on the ASP of our service. I think it's also important to note that we are very optimistic on the recovery of overall foot traffic and consumption in China. The sequential recovery is very clear. For us, we will continue focusing on doing the right thing, which is to efficiently expand the coverage of our service through the direct and network partner models. Once we are able to cover more POIs that currently generate positive economics for the company, we will benefit even more from these locations once consumption power further recovers. So overall, softer consumer spending does impact us to some extent. But we are not -- we are very confident that we can more than make up for it through the increase in the coverage. I hope that answers your question. Thank you.
Operator: We are now approaching the end of the conference call. I will now turn the call over to Energy Monster's CFO, Maria Xin, for closing remarks.
Maria Xin: Once again, thank you for joining us today. Please don't hesitate to contact us if you have any further questions. Thank you for your support, and we look forward to speaking with you in the coming months. Thank you.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.